Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please star zero and a member of our team will be happy to help you. Thank you for your continued time; please press 0, and a member of our team will be happy to help you. Please standby. Your meeting is about to begin.
Angela: Good afternoon. My name is Angela, and I will be
Operator: your conference operator today. At this time, I would like to welcome everyone to the Hercules Capital, Inc. Fourth Quarter and Full Year 2025 Financial Results Conference Call. All participant lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Please be advised that today's conference may be recorded. Lastly, if you should require operator assistance, please press 0. I will now turn the call over to Michael W. Hara, Managing Director of Investor Relations. Please go ahead.
Michael W. Hara: Thank you, Angela. Good afternoon, everyone, and welcome to Hercules Capital, Inc.’s conference call for the fourth quarter and full year 2025. With us on the call today from Hercules are Scott Bluestein, CEO and Chief Investment Officer, and Seth Hardy Meyer, CFO. Hercules’ financial results were released just after today's market close and can be accessed from Hercules’ Investor Relations section at investors.htgc.com. An archived webcast replay will be available on the Investor Relations webpage following the conference call. During this call, we may make forward-looking statements based on our own assumptions and current expectations. These forward-looking statements are not guarantees of future performance and should not be relied upon in making any investment decision. Actual financial results may differ from the forward-looking statements made during this call for a number of reasons, including but not limited to the risks identified in our annual report on Form 10 and other filings that are publicly available on the SEC's website. Any forward-looking statements made during this call are made only as of today's date. Hercules assumes no obligation to update any such statements in the future. And with that, I will turn the call over to Scott. Thank you, Michael. And thank you all for joining the Hercules Capital, Inc. Q4 and Full Year 2025 Earnings Call. 2025 was another year of record operating performance, record originations, platform expansion, and strong and stable credit for Hercules Capital, Inc. We were once again able to set several new financial and performance records and deliver strong platform growth, demonstrating the stability and consistency of the Hercules platform. Hercules crossed the finish line in record fashion by delivering another strong quarter of record commitments, which led to annual records for new debt and equity commitments, gross fundings, net debt portfolio growth, and both total and net investment income. Our momentum continued in Q4, with record originations of $1,060,000,000.00 which drove record annual originations of nearly $4,000,000,000 and record annual gross fundings of $2,280,000,000. Our record fundings led to a new record net debt portfolio growth in 2025. The strong new business activity throughout the year
Scott Bluestein: helped to deliver new annual records for both total investment income and net investment income. Our performance in 2025 and our continued confidence in the trajectory of the business put us in position to once again declare a new supplemental distribution program for our shareholders. Despite operating in a declining rate environment, we were able to achieve 120% coverage of our quarterly base distribution of $0.40 per share in the fourth quarter and maintain $0.82 per share of spillover income. In addition to not making any changes to our quarterly base distribution, we are maintaining the same quarterly supplemental distribution as last year. Driven by the growth of both the BDC and our private credit funds business, Hercules Capital, Inc. is now managing more than $5,700,000,000.0 of assets, an increase of more than 20% from where we were at year-end 2024. Let me recap some of the highlights and achievements for 2025. Record new debt and equity commitments of $3,920,000,000.00, an increase of 45.7% year over year. Record gross fundings of $2,280,000,000.00, an increase of 25.9% year over year. Record total investment income of $532,500,000.0, an increase of 7.9% year over year. Record net investment income of $341,700,000.0, an increase of 4.9% year over year. Record net debt portfolio growth of approximately $748,500,000.0. Consistent and growing quarterly dividends from our wholly owned RIA, which generated $23,400,000 in dividend and other contributions for the company in 2025. Six consecutive years of delivering supplemental distributions to our shareholders. And record platform-level year-end assets under management of more than $5,700,000,000.0, an increase of 20.5% year over year. As we enter 2026, we continue to expect higher-than-normal market and macro volatility. We are already seeing this play out with the recent valuation reset that is taking place in certain parts of the tech ecosystem. With our disciplined, credit-first approach to underwriting, and our unwavering commitment to always making decisions that we believe are in the best interest of our shareholders and stakeholders, we remain confident in the strength and stability of the Hercules platform and our ability to continue to generate strong operating results irrespective of the market backdrop. With the expansion of our platform capabilities over the last several years, and our expectation for continued market volatility, we expect a very robust new business environment for Hercules in 2026. Our expectation is that we will see more strategic M&A, more capital markets activity, and more support for the innovation economy in 2026. We are already seeing this come to fruition in Q1. As we have done over the last several years, we intend to continue to manage our business and balance sheet defensively, while maintaining the flexibility to take advantage of market opportunities that we expect to arise. This includes continuing to enhance our liquidity position as needed, further tightening our credit screens for new underwritings, staying focused on asset diversification, and maintaining our higher-than-normal first lien exposure, which was approximately 90% again in Q4. We believe that we are incredibly well positioned to benefit from a more favorable originations market in 2026, which we expect will be a key differentiator of our business this year. Let me now recap some of the key highlights of our performance for Q4. In Q4, we originated record total gross debt and equity commitments of $1,060,000,000 and gross fundings of over $522,000,000. We generated total investment income of $137,400,000.0 and net investment income of $87,000,000, or $0.48 per share. With record growth in our debt investment portfolio in 2025, given that nearly 75% of our prime-based loans are now at their floors, we are generating a level of core income that amply covers our base distribution of $0.40. We generated a return on equity in Q4 of 16.4%, and our portfolio generated a GAAP effective yield of 12.9%, which was impacted by lower early payoffs, and a core yield of 12.5%, which was consistent with Q3. We expect core yield to decline slightly in Q1,
Operator: Cut.
Michael W. Hara: Our balance sheet with moderate leverage and low cost of leverage remains very well positioned to support our continued growth objectives and provides us with the ability to continue to focus on high-quality originations versus chasing higher-yielding assets which we believe have more risk. While delivering record new originations in Q4, we still maintained a conservative and defensive balance sheet. As we guided, GAAP leverage increased to 104.4% in Q4, up from 99.5% in Q3. Our Q4 GAAP leverage remained at the very low end of our typical historical range of 100% to 115% and below the average of our BDC peers. We ended Q4 with over $1,000,000,000 of liquidity across the platform, and we further strengthened our liquidity position with our recent $300,000,000 investment-grade bond offering. The current market volatility is creating a very favorable capital deployment environment for Hercules, and we want to ensure that we are positioned to opportunistically take advantage of that for the long-term benefit of our shareholders and stakeholders. The focus of our origination efforts in Q4 was on maintaining a disciplined approach to capital deployment while emphasizing diversification across the asset base. Our Q4 fundings activity was well balanced between life sciences and tech companies, although our new commitment activity was more heavily weighted towards life sciences companies, which reflects a slightly more defensive posture. This is consistent with our public guidance during our Q3 call where we noted certain pockets of frothiness in the market that we were avoiding. In Q4, approximately 69% of our commitments and about half of our fundings were to life sciences companies, while approximately 31% of our new commitments were to tech companies. We funded debt capital to 33 different companies. Were new borrower relationships. For the year, we added 39 new borrowers to the Hercules portfolio. We also increased our capital commitments to several portfolio companies during quarter, and supporting our existing portfolio companies will continue to be a key priority for us in 2026. Our available unfunded commitments declined to approximately $385,600,000.0 from $437,500,000 in Q3, again reflecting a slightly more defensive positioning of the portfolio. The momentum that we saw in Q4 for new originations has further accelerated in Q1. Since the close of Q4, and as of 02/09/2026, our investment team has closed $894,800,000 of new commitments and funded $253,900,000. We have pending commitments of an additional $587,500,000.0 in signed nonbinding term sheets, and we expect this number to continue to grow as we progress in Q1. Our active pipeline remains very robust both in terms of quantity and most importantly, and our quarter-to-date commitment activity has remained more heavily weighted towards life sciences companies. We are focused on maintaining our high bar for new originations, given some of our recent market observations. The volume of deals that our teams are screening and passing on remains elevated, and yet we are continuing to see deals get done in the market without strong structure and well outside of what we believe are prudent underwriting metrics for the asset class. As we have always done, we intend to remain disciplined, patient, and focused on the long term while being aggressive where we believe it makes sense. We continue to be pleased with the exit activity that we saw in our portfolio during the quarter. In Q4, we had four new M&A events in our portfolio, which included one life sciences portfolio company and three technology portfolio companies announcing acquisitions. That brings us to 15 M&A events plus one IPO in our portfolio through year-end. We had one additional technology portfolio company announce an M&A event in Q1 quarter to date. Based on current market conditions and the volatility with respect to valuations, we expect exit activity to accelerate in 2026. Early loan repayments of $149,700,000.0 came in at the lower end of our range of $150,000,000 to $200,000,000 for Q4. The lower level of early loan prepayments had a small negative impact on Q4 NII, but it helped drive strong net debt portfolio growth and continues to position us well for strong core earnings growth into 2026. For Q1, we expect prepayments to be in the range of $150,000,000 to $200,000,000, although this could change as we progress in the quarter. Our net asset value per share in Q4 was $12.13, an increase of 0.7% from Q3 2025. We ended Q4 with solid liquidity of $525,500,000 in the BDC and over $1,000,000,000 of liquidity across the platform. Our liquidity position was further boosted by the $300,000,000 capital raise that we completed post quarter end. With healthy liquidity, a low cost of debt relative to our peers, and four investment-grade corporate credit ratings, we remain well positioned to compete aggressively on quality transactions, which we believe is prudent in the current environment. Credit quality of the debt investment portfolio remains strong and improved quarter over quarter. Our weighted average internal credit rating of 2.2 improved from the 2.27 rating in Q3 and remains well within our normal historical range. Our grade one and two credits increased to 66.6% compared to 64.5% in Q3. Grade three credits decreased slightly to 31.7% in Q4 versus 32.7% in Q3. Our rated four credits decreased to 1.7% from 2.8% in Q3, and we did not have any rated five credits for the third consecutive quarter. The 1.7% of loans rated at four and five as of year-end is the lowest that we have reported since 2022.
Operator: In Q4,
Michael W. Hara: the number of companies with loans on non-accrual decreased by one to a single loan on non-accrual with an investment cost and fair value of approximately $10,700,000 and $6,300,000, respectively.
Operator: Or
Michael W. Hara: 0.20.1% as a percentage of our total investment portfolio at cost and fair value, respectively. In Q4, we generated $20,300,000 of net realized gains, and as of the most recent reporting that we have, 100% of our debt investments that are on accrual are current with respect to the payment of scheduled principal and interest. With respect to our broader credit book and outlook, we generally remain pleased by what we are seeing on a portfolio level, and our portfolio monitoring remains enhanced
Operator: given the volatility
Michael W. Hara: in the market. We believe that our conservative underwriting and ensuring appropriate structural alignment on the deals that we do will continue to serve us well. As of the end of Q4, the weighted average loan-to-value across our debt portfolio was approximately 14%. Our asset base is intentionally diversified, with approximately 50% of our assets in our life sciences vertical and approximately 50% of our assets in our technology vertical. No single subsector makes up more than 25% of our total investment portfolio, and our debt investments are spread across 127 different companies. With the continued enhanced focus on PIK across the private credit markets, as well as the recent market surrounding software investments broadly, we wanted to provide some additional commentary on both topics for Hercules.
Operator: For Q4,
Michael W. Hara: PIK was approximately 10.4% of total revenue and during the 2025, which decreased from where it was in Q3. Approximately 86% of our PIK income in Q4 was attributable to PIK that was part of the original underwriting and not a result of any credit- or performance-related amendment. Nearly 91% of our PIK income in Q4 came from loans that we rated one, two, or three. With respect to the increased focus on software and AI-related investments, we note the following: Over the coming years, we believe that AI will be a net positive for our business and investment portfolio, which is largely comprised of innovative, tech-oriented businesses that embrace technology with an entrepreneurial mindset. Many of our portfolio companies are differentiating themselves from legacy software competitors by integrating general and, more importantly, agentic AI into their core product offerings. Many are also led by technical founders, which we believe provides a distinct advantage as companies look to integrate AI into their software products. AI will continue to become a key component of software offerings, and many software companies will benefit from that. The software companies that are most susceptible to AI disruption are the legacy providers that are not providing a core mission-critical business function utilizing proprietary data from their customers, and who are not analyzing the data that they do have with AI to then offer solutions to customers. Hercules factors this into our technology underwritings, and our focus over the last twelve to eighteen months has largely been centered on software companies with a hardware moat with customer bases that are highly regulated. Hercules does not lend into pure-play AI or data center GPU financing structures. This deliberate positioning allows us to avoid the highest-volatility, highest-risk segments of the market while still constructing a portfolio of companies that we believe will benefit from the operating efficiencies and productivity gains emerging across the broader AI ecosystem. Many of the software companies in our portfolio serve as the gatekeepers to their customers' structured data, and they provide the tools to these customers that serve mission-critical functions. Our software portfolio is largely comprised of businesses who have very specific domain expertise and competencies, with very high switching costs for customers. We continue to underwrite the software sector very conservatively, with ARR attachment points less than 1x on average and historical duration of our software loans less than twenty-four months, which materially de-risks the debt portfolio. On the life sciences side of our business, we are continuing to see many of our healthcare services companies and drug discovery companies benefit from the efficiencies that can be derived from utilizing some of the new AI tech that is now available to them.
Operator: Lastly,
Michael W. Hara: underwriting growth-stage and venture-backed software credits is fundamentally different than more traditional and customary middle market software credits. In the latter, deals are generally underwritten with LTVs in the 40% to 60% range, debt to invested equity ratios in the 50% to 70% range, and at ARR attachment points between 1x and 2.5x. For us, with our software credits, we are targeting LTVs that are less than 20%, debt to invested equity ratios less than 30%, and ARR attachment points that are sub 1x, which we believe reflects a more conservative approach to underwriting these credits.
Operator: Venture capital investment activity in Q4.
Michael W. Hara: Again, paralleled what we experienced in our deal flow and originations. Full year 2025 investment activity was the second highest in history at $339,400,000,000.0, second only to the $358,200,000,000.0 invested in 2021, according to data gathered by PitchBook, NDCA. While the aggregate data remains strong, it remains highly concentrated, with over 65% of the full-year VC equity investments going into AI and cybersecurity companies. M&A exit activity for 2025 for U.S. venture capital-backed companies was $140,700,000,000.0.
Operator: Again,
Michael W. Hara: the second highest amount since 2021. The number of IPOs for the year remained flat compared to 2024, but the dollars raised increased by nearly three times over 2024. Fundraising per VC firms slowed for the third straight year to $66,100,000,000.0 in 2025, and this is something that we will watch closely in 2026. Consistent with the aggregate data for the ecosystem, during Q4, capital raising across our portfolio remained strong, with 20 companies raising $2,900,000,000 in new capital. For 2025, we had 57 companies raise over $7,900,000,000.0 in new capital, which is the highest amount since we began tracking the data across our portfolio. Given our strong, sustained operating performance, we exited Q4 with undistributed earnings spillover of $149,900,000.0, or $0.82 per ending shares outstanding. For Q4, we are maintaining our quarterly base distribution of $0.40, and we declared a new supplemental distribution of $0.28 for 2026, which will be distributed equally over four quarters, or $0.07 per share per quarter, a total of $0.47 of shareholder distributions each quarter. Our Q4 net investment income covered our base distribution by 120% and our full distribution, including our $0.07 supplemental distribution, by 102%. Based on our recent and anticipated near-term operating performance, we continue to be very comfortable with our quarterly base distribution and our ability to continue to provide our shareholders with supplemental distributions this year. This is our twenty-second consecutive quarter being able to provide our shareholders with a supplemental distribution in addition to our regular quarterly base distribution. Similar to what we did at year-end 2024, we want to provide a brief update on our growing private fund business, which continues to provide meaningful benefits to Hercules Capital, Inc. As a reminder, Hercules Advisor LLC is a wholly owned subsidiary of Hercules Capital, Inc., our internally managed BDC, and as a result, 100% of the earnings and value of that business benefit our public shareholders and stakeholders. We are very excited about the momentum in this business and the value that we are delivering for our institutional partners, and we view it as a strong tailwind for Hercules and our shareholders moving forward. Since inception in 2021, HTGC has received approximately $65,000,000 in cumulative benefits from its wholly owned private credit funds business. Hercules Advisor LLC now manages nearly $2,000,000,000 in committed equity and debt capital, and these private funds continue to provide a differentiated avenue for institutional investors to access the scale and proven performance of Hercules. During 2025, between new capital commitments and the extension of existing capital commitments, we raised over $1,000,000,000 across our private fund business.
Operator: In closing,
Michael W. Hara: our scale, institutionalized lending platform and our ability to capitalize on a rapidly changing competitive and macro environment continues to drive our business forward and our operating performance to record levels. In Q4, Hercules delivered its eleventh consecutive quarter of over $100,000,000 of quarterly core income, which excludes the benefit of prepayment fees or fee accelerations from early repayments. Despite the declining rate environment that we are now operating in, we were able to achieve 120% coverage of our quarterly base distribution in Q4. Our continued success attributable to the tremendous dedication, efforts, and capabilities of our 115-plus employees and the trust that our venture capital and private equity partners place with us every day. We are thankful to the many companies, management teams, and investors that continue to make Hercules their partner of choice. I will now turn the call over to Seth. Thank you, Scott, and good afternoon and evening, ladies and gentlemen. 2025 was another very strong year for Hercules Capital, Inc. with record operating performance and an acceleration of the growth of the Hercules platform. Our strong business momentum and performance results
Seth Hardy Meyer: throughout the year continued into the fourth quarter delivered strong growth across both the BDC and our wholly owned private credit fund business, which continues to provide us with significant capital flexibility and the capacity to take advantage of market opportunities as they arise. We continue to maintain strong available liquidity of approximately $526,000,000 as of quarter end in the BDC, and more than $1,000,000,000 across the platform, including the advisor funds managed by our wholly owned subsidiary Hercules Capital, Inc. Hercules Advisor LLC. As mentioned by Scott, after quarter end, we strengthened our liquidity position by issuing $300,000,000 of institutional 5.35% unsecured notes. Finally, based on the performance of the quarter, Hercules Advisor delivered a quarterly dividend of $2,100,000.0, which when combined with the expense reimbursement of approximately $4,400,000, resulted in approximately $6,500,000.0 in NII contribution to the BDC for the quarter. For 2025, Hercules Advisor delivered $23,000,000 in NII contribution to the BDC, an increase of approximately 33% year over year. With those points in mind, I will review the income statement performance and highlights, NAV unrealized and realized activity, leverage and liquidity, and finally, the financial outlook. Turning first to the income statement performance and highlights. Total investment income in Q4 was $137,400,000.0 supported by our year-to-date debt portfolio growth. Core investment income, a non-GAAP measure, increased as well to a record $133,300,000.0. Core investment income excludes the benefit of income recognized because of early loan prepayments. Net investment income was $87,000,000, or $0.48 per share in Q4, and this number was partially impacted by prepayments being lower than anticipated in the fourth quarter. Our effective and core yields were 12.9% and 12.5%, respectively, compared to 13.5 12.5% in the prior
Operator: quarter.
Seth Hardy Meyer: The effective yield was down on lower prepayments as previously noted, however, I would highlight that this is the third quarter in a row our core yield has remained at 12.5%. 12.5% despite the base rate decreases throughout the latter half of 2025. As of quarter end, approximately 75% of our prime-based loans were at the contractual floor and thus the impact of any future rate reductions will continue to be muted. Fourth quarter operating expenses were $54,900,000 compared to $53,600,000 in the prior quarter. Net of costs recharged to the RIA, our net operating expenses were $50,500,000.0. Interest expense and fees increased to $28,200,000.0 due to the growth of the business and corresponding increase of leverage. SG&A remained stable at $26,700,000.0, just above my guidance on the growth of the business. Net of cost recharged to the RIA, SG&A expenses decreased slightly to $22,200,000.0. Our weighted average cost of debt remains stable at 5.1%. Our ROAE, or NII over average equity, decreased to 16.4% for the fourth quarter, and our ROAA, or NII over average total assets, decreased to 8.2%. In the NAV unrealized and realized activity, during the quarter, our NAV per share increased by $0.8 per share to $12.13 per share. The main driver was the net realized gains and accretion due to the use of the ATM during the quarter. During 2025, our NAV per share increased by 4%, and this is the highest year-end NAV we have delivered since 2007. During Q4, Hercules had net realized gains of $20,300,000.0 comprised of gross realized gains of $28,800,000, primarily due to the gain on equity investments, offset by $8,500,000 of losses. The losses were due to $5,300,000 of losses on equity investments, $3,100,000.0 from the write-off of one legacy debt investment, and $100,000 from a realized loss on debt extinguishment. Our $16,400,000 of net realized depreciation was primarily attributable to $18,300,000 of net unrealized depreciation due to reversals of previous quarter appreciation upon a realization event, and $8,900,000 of net unrealized depreciation attributable to debt investments. This was partially offset by $8,100,000 of net unrealized appreciation attributable to valuation movements in publicly held equity and warrants, $2,400,000.0 of net unrealized appreciation attributable to valuation movements in privately held equity, warrants, and investment funds, and $300,000 of net unrealized appreciation attributable to net foreign exchange and escrow movements. Next on leverage and liquidity, consistent with our previous guidance, our GAAP and regulatory leverage increased to 104.4% 88.6%, respectively, compared to the prior quarter due to the growth in the balance sheet mostly being financed by leverage. Netting out leverage with cash on the balance sheet our GAAP and regulatory leverage was 101.8% 86%, respectively. We ended the quarter with $526,000,000 of available liquidity. As a reminder, this excludes the capital raised by the funds managed by our wholly owned RIA subsidiary. Inclusive of these amounts, Hercules’ platform had more than a billion of available liquidity as of year-end. The strong liquidity positions us well to support our existing portfolio companies and source new opportunities. As mentioned, subsequent to quarter end close, Hercules Capital, Inc. raised $300,000,000 of institutional 5.35% unsecured notes due in 2029. Finally, the outlook points: for the first quarter, we expect our core yield to be in the middle of our previous disclosed range of 12% to 12.5%. As a reminder, 98% of our debt portfolio is floating with a floor, and as of today, approximately 75% of our prime-based portfolio is at the contractual floor. Although very difficult to predict, as Scott mentioned, we expect $150,000,000 to $200,000,000 in prepayment activity in the first quarter. We expect our first quarter interest expense to increase compared to the prior quarter based on the debt portfolio growth. For the first quarter, we expect SG&A expenses of $26,000,000 to $27,000,000 and an RIA expense allocation of approximately $4,500,000. Finally, we expect a quarterly dividend from the RIA of approximately $2,000,000 to $2,500,000 per quarter. In closing, as we report out another record year, we have started 2026 with the same momentum of growth and strength of our balance sheet. These two dimensions, along with our superior credit standards and selection, will help Hercules to continue scaling our platform. I will now turn the call over to the operator to begin the Q&A portion of our call. Angela, over to you. Thank you. We will now open for questions.
Operator: We will take our first question from Brian McKenna with Citizens. Your line is open. Please go ahead. Great. Thanks. So I appreciate all the detail on the current backdrop for software and AI and that you think AI will actually be a net positive for your business and portfolio over time. With all that said, given the dislocation we have seen across the public markets, is there incremental opportunity here on the deployment front to take advantage of some of this volatility? And if so, where would you be looking to lean into?
Scott Bluestein: Sure. Thanks for the question, Brian. So I hope that we emphasized that in the prepared remarks. We absolutely think that there is an interesting opportunity here for us to play offense. Our teams right now, across both the tech vertical and the life sciences vertical, are looking to do that. Hercules has typically performed its best in periods of volatility, and we have tried to position our balance sheet to be able to do the same this time. Our liquidity position is incredibly robust. Our balance sheet is conservative with low leverage, long liquidity, and robust liquidity, and so we do plan to be aggressive with respect to taking advantages of what we see are some pockets of real deployment opportunities. Our Q1 quarter-to-date numbers are as strong as we have ever announced on a Q4 call. If you look at the not just the pending but what is already closed quarter to date, we are well north of a billion 2, a billion $3,000,000,000 in commitments for Q1, and a large part of that is us being aggressive and taking advantage of some of the market dislocation that we think is creating some of these unique opportunities that we can be aggressive on.
Seth Hardy Meyer: Okay. Great. That is helpful. And then just switching gears a little bit on the RIA. You know, it is great to hear all the momentum there, and it really feels like that business has inflected. But how should we think about fundraising and growth for that platform in 2026? I know you mentioned the $1,000,000,000 of fundraising, if you will, in 2025. And then just where does fundraising stand for Fund IV? Will that get wrapped up this year? You actually commence fundraising for the next fund? And then are there any other opportunities from a new product perspective?
Scott Bluestein: Sure. So we continue to be very pleased by the growth of our private funds business. We are not going to disclose additional details outside of what we disclosed on the call, but I can tell you that we absolutely expect to continue to raise additional capital throughout 2026. We expect Fund IV to have a final close in 2026. And discussions are already well underway for what will be the vehicle as part of our private funds business. I think the key thing that I would continue to emphasize, given our unique ownership structure, the larger that business becomes, the more we are able to raise, the more we are able to deploy, the better it is for HTGC shareholders and stakeholders. And that has been and will continue to be our primary focus with that business.
Seth Hardy Meyer: That is helpful. Appreciate all the color, and congrats on all the momentum at the twenty six. Thanks, Brian. Thank you. We will take our next question from Crispin Elliot Love with Piper Sandler. Please go ahead.
Scott Bluestein: Thank you and good afternoon, everyone. First, just looking at your investment portfolio composition, about 35% is made up of software companies across application software and system software. Can you
Seth Hardy Meyer: drill a little deeper within those cohorts? What areas in your portfolio are you
Scott Bluestein: most confident in? And then, on the other side, any areas in your portfolio where you are more cautious just given the AI disruption theme out there? Yes. So look, appreciate the question, Crispin. So system software is very different than application software, which is why we break it out. Think of sort of system software as companies that are providing software to more sort of general IT companies, so cybersecurity, for example, whereas application software would be software that are providing solutions for more general users. I would tell you that across the board, we generally feel pretty good about what we are seeing in our software portfolio. Our view, as I discussed in the prepared remarks, is that there should be no ambiguity that AI is a disruptive technology. That does not mean that it has to be a destructive technology for all software businesses. Software companies that are focused on providing core, mission-critical solutions, software companies that are embracing artificial intelligence, software companies that are utilizing and building AI agentic solutions into their software offerings we think are actually going to do pretty well. They will become more value-add for some of their customers. There are software companies that are not doing that. We think that those companies will be negatively impacted. That will take place over several years. The way we structure our investments, the way we underwrite with low LTVs, low attachment points, and shorter duration than you typically see in software private credit, we think will position us relatively well. Great. Great, Scott. Thank you. Appreciate the color there. And then just on share a little bit on your views on M&A and the IPO activity into '26. You did call out an expectation more strategic M&A. Just what is your view on tech M&A as well as the IPO pipeline for tech companies? And has that been impacted at all just from recent volatility? Yeah. So it is interesting. If you look at the M&A data that we track, in sort of each of the last four years, so '22, '23, '24, and '25, we have had roughly a thousand venture-backed M&A exits per year. The dollar volumes are up pretty considerably. So last year, 934 M&A exits, about $84,000,000,000 of M&A exits. In '25, roughly the same number, so about a 29 M&A exits. But that number ballooned to about a $141,000,000,000 of transactions
Operator: value.
Scott Bluestein: Our current expectation is that M&A will continue to be robust in 2026. We think that there will be a lot of strategic activity with acquisitions from larger competitors that are picking up some smaller competitors that are distressed from a valuation perspective, and we think that is a net positive for our business. We generally expect the IPO market to remain muted. The number of IPOs that have been done have declined in each of the last four years. Although the dollar volume has increased considerably, and that is just a function of the number the IPOs that are getting done tend to be the larger, much larger ones, which is moving that dollar value up despite the number of IPOs remaining flat. And we do not expect that to change in 2026.
Operator: Great. Thank you, Scott. Appreciate taking my questions. Thanks, Crispin.
Seth Hardy Meyer: Thank you. We will take our next from John Hecht with Jefferies. Your line is open. Please go ahead.
Operator: Afternoon, guys, and congrats on just continued momentum.
Christopher Nolan: And I guess my question, my first question is kinda tied to that. Scott, maybe I know the venture capital companies like to use debt for portion of dilution. I the last time I tried business through never missed it. It is still a relatively small component of the overall pie for them in terms of capital raising for their portfolio companies? This structure of the industry chain, I guess,
Operator: Hey, John. I think we are losing you. Okay. It looks like John did disconnect.
Seth Hardy Meyer: We will move on to our next questioner.
Finian Patrick O'Shea: We will go next to Finian O'Shea with Wells Fargo.
Scott Bluestein: Hey, everyone. Good afternoon. So a couple of things tied together on one, and you have had a lot of records this quarter, perhaps even more than usual.
Christopher Nolan: But looking at a few other items,
Scott Bluestein: ATM has been light for a while. Advisor dividend sounds like a stable guide. The Hercules dividend holds up, but sort of same base dividend, so you keep a lot of supplemental, which tells us less long-term stability on that part. Sort of tying this all together, is Hercules like is the expectation to sort of run in place this year as repayments are high, perhaps impressive growth you have achieved in the past few years will take a bit of a breather
Casey Jay Alexander: I'll leave it there. Thanks.
Scott Bluestein: Yeah, sure. Thanks for the question, Fin. And the answer is unequivocally no. I think if you take our prepared comments and you look at just the quarter-to-date data for Q1, we have tremendous conviction in the growth opportunity for the platform this year, and we are positioning the business to be able to take advantage of that. Couple of things specifically that you referenced on the ATM, I think we have been very clear on this. We have no interest in using the ATM for the purpose of diluting our shareholders until and unless we actually need that capital. And so in periods where we do not need to use the ATM, we are not going to use the ATM facility just to raise additional capital. We ended the year with $1,000,000,000 of liquidity across the platform, over $525,000,000 of that in the BDC, the rest in the private fund business. We have already funded close to $250,000,000,000 of deals in Q1. And we have well north of $1,400,000,000 in closed and pending commitments quarter to date, which would be the strongest quarter in the history of Hercules Capital, Inc. And our pipeline is not showing any signs of slowing down. Also just gave prepayment guidance that was flat from last quarter, so $150,000,000 to $200,000,000. So our full expectation, assuming we can deliver on those numbers, is that you will see continued strong growth from Hercules Capital, Inc. over the course of 2026.
Operator: Okay. That is
Casey Jay Alexander: cool. That much is clear. Appreciate that. Just a follow-up on sort of another one on the RIA, and I know you tend to hold your cards close here, but I will give it a shot. Some of your peers are starting to offer or plan to offer venture debt in the non-traded wealth channel. Do you think that is the right do you think the sort of product venture debt is right for that market? And then you know, if sort of different question, if these are successful, do you think that is a sort of significant headwind to terms, spreads, and so forth in the market.
Scott Bluestein: Yes. So again, appreciate the question. Respectfully, I cannot speak to what our competitors are doing, and so I am not going to take a position whether I think good or bad. I can just tell you what our focus has been. We think that the best path for capital raising for this asset class in the private fund side of the business is the institutional market. Have four active private credit funds right now that are investing. They are 100% institutional with very large institutional, well-capitalized investors. And that has and that will continue to be our focus with respect to raising capital in that channel for this asset class.
Christopher Nolan: Thank you.
Scott Bluestein: Sure. Thanks, Ben.
Finian Patrick O'Shea: Thank you. And we will take our next question from John Hecht with Jefferies. Thanks for letting me back in the queue. Sorry about
Christopher Nolan: that. It is the Murphy's Law: phone died right when I was asking the question. So the question, to go back to it, was Scott, you know, I mean, there has been tremendous growth in the venture industry overall. Your momentum, obviously, is correlated to that, but I am wondering kind of structurally, are the venture capitalists using debt more as a, you know, a component of funding their group, their businesses? Or are you just is the momentum of growth just tied to the total industry growth?
Scott Bluestein: So I think it is a function of both, John, and appreciate you jumping back in the queue to ask the question. So there is no question that the overall growth in the ecosystem, the growth in terms of the dollars being invested from the VC partners that we work with, has created more of a market opportunity, more of a TAM for us. So that is part of what is contributing to the growth in our business. I would also say that there is a component of the first part of what you said, which is that certain companies are utilizing more debt than they typically would have used. And that could be for a variety of reasons. Number one, because there is a valuation disconnect, and they do not want to raise a round at a lower valuation. It could be because they cannot raise equity capital, so they are trying to raise as much debt and as much leverage as they can. I would tell you, and we sort of said this in each of our last few calls,
Operator: with
Scott Bluestein: venture or growth-stage lending, you have to be disciplined. You have to be patient. You cannot chase the market. And I think our teams, while not perfect, I think have done a pretty good job on that. So if you look at our metrics in terms of debt to invested equity, debt to paid-in capital, all of our metrics and all of our ratios are largely flat over the last several years, which at least gives me comfort that we are not chasing some of that aggressiveness in the market as leverage has gone up for many of these companies.
Operator: Okay. That is helpful.
Christopher Nolan: Yeah. A second question maybe for Seth. Just in terms of deal structures, kind of the minutiae there, anything going on or worth calling out with respect to, you know, the call it, the fees that are part of the deals and the structures around that. Or kind of warrant coverage, and are those factors changing given some of the recent
Operator: dislocation?
Scott Bluestein: Yeah. John, I am happy to take that one. So no real change. We are generally pretty consistent in terms of how we structure these deals. I would tell you, and we have always said this, it is not a one-size-fits-all model. So I think our teams work very closely with our management team partners and our VC partners to try to put together custom-tailored solutions that work well for the companies. But generally speaking, the deals are going to have an upfront facility fee. They are going to have a cash coupon with floor protection. The vast majority of our venture and growth-stage loans will be based off of prime. The vast majority of our loans are going to have some form of end-of-term economics. Then in about 80% of the deals that we do, we will get some form of equity upside, whether it is from warrants or from an RTI, which gives us the right to invest in a subsequent equity round. So depending on the profile, depending on the stage, those metrics, those sort of tools that we have may change. But generally speaking, the deals are going to look pretty similar in terms of those different levers.
Operator: Great. Thanks. Thanks, John.
Finian Patrick O'Shea: Thank you. Our next question comes from Douglas Michael Harter with UBS. Your line is open. Please go ahead.
Christopher Nolan: Thanks.
Casey Jay Alexander: Can you just talk about how you look to balance taking advantage of kind of the opportunity from dislocations today versus kind of continuing to be patient in case that things get worse before they get better?
Scott Bluestein: Sure. Thanks, Doug. So it is a balance. Right? I think our team right now is being pretty targeted. So we have identified a handful of what we think are very attractive, strong opportunities, and we are going after those opportunities as aggressively as we think is prudent. At the same time, we are making sure that we are maintaining a significant amount of dry powder. I think the $300,000,000 raise that we closed last week, I think, is sort of evidence of that, that we are trying to position ourselves to be aggressive now, but not overly aggressive where we utilize all of our available liquidity. We do think that over the course of the next several quarters more and more opportunities will come to fruition, and we want to make sure that we are positioned to take advantage of that. So we are being aggressive, we are picking our spots, but I would describe it as we are targeted, and we expect that to continue certainly over the remainder of Q1 and well into Q2 as well.
Casey Jay Alexander: That. And as I guess as you think about the ability to be targeted here, can you get wider spreads in these deals in this environment? Or is it you are able to kind of finance and pick, you know, kind of cleaner companies or, you know, better credits and get the same returns. So just how to think about the
Christopher Nolan: the
Casey Jay Alexander: the risk-return trade-off where you are able to kind of pick something up in this environment?
Scott Bluestein: I think it is the latter, Doug. We are focused right now on credit. We are not focused on chasing yield. So I think we are getting, relatively speaking, the same overall economics. We are deploying capital into what we think are better overall, more stable, scaled credits. That has been our focus for the last several years. I think we have tried to emphasize we are not chasing yield. We think that the deals that are getting done outside of sort of the typical yield spot are just a much more challenging, difficult stories. I think we are doing a pretty good job staying away from that. So I would think about it as we are maintaining our underwriting yields, but we are targeting better quality, more mature, more scaled, more sophisticated businesses that we think have more staying power.
Casey Jay Alexander: Appreciate the answers. Thank you.
Finian Patrick O'Shea: Thank you. We will take our next question from Ethan Kaye with Lucid Capital Markets. Your line is open. Please go ahead.
Christopher Nolan: Hey, guys. Good evening.
Seth Hardy Meyer: Most of mine have been asked and answered. I just have one, hopefully quicker one on software. So you talked a bit about kind of a more, you know, enhanced or sharper, you know, portfolio monitoring approach, you know, given AI disruption risk, I guess. Know, what are the red flags or, like, warning signs that you are looking out for that
Paul Conrad Johnson: you know, can maybe indicate whether, you know, AI disruption is materializing? It sounds like maybe you have not seen them yet in the portfolio, but any color you can provide on, you know, what specifically you are looking for, think, would be helpful. Helpful.
Seth Hardy Meyer: Sure. You know, I think it is just it is aggressive
Scott Bluestein: active, consistent discussion, conversation, and monitoring. One of the benefits that we have of operating at scale, right? And for us that scale is $5,700,000,000 of AUM. It is a debt portfolio north of $5,000,000,000. It is 127 different companies. It is $4,000,000,000 of committed capital last year. We have access to a lot of different companies, a lot of venture capital partners. And so we are constantly having conversations with our portfolio ecosystem, which I think gives us a pretty good insight as to what our customers, what the investors are hearing and seeing on the ground. We also have very robust documentation. We require monthly financials. We monthly compliance certificates and bring down of reps and warranties. Our investment teams are having conversations with the vast majority of our companies on a biweekly basis where we are touching base, hearing what they are hearing from their customers, and I think that puts us in a position to sort of avoid the red-flag scenario where we can work with our companies to identify the yellow flags where if we start to see deterioration in KPIs, if we start to hear from a good portion of our companies in a particular software vertical that there is some pushback, we can react pretty aggressively and pretty quickly.
Paul Conrad Johnson: Great. I appreciate that color. Thanks, guys.
Operator: Thanks, Ethan.
Finian Patrick O'Shea: Thank you. We will take our next question from Christopher Nolan with Ladenburg Thalmann. Your line is open. Please go ahead.
Casey Jay Alexander: Scott, your comments, it sounds like the venture debt is a little bit more active than the venture equity market. Is that more of a function of just these portfolio companies are now focusing more on cash flow generation rather than growth?
Operator: Yeah.
Scott Bluestein: Chris, I think the venture equity market, certainly in 2025, was incredibly robust. Second strongest year on record. The only year where more equity dollars were invested was 2021, which was sort of peak of COVID. In 2025, $339,400,000,000.0 invested in about 15,000 different venture capital companies. So from the data that we have that we track, the aggregate data is pretty robust. The one data point that is not as robust is VC fundraising that has declined in each of the last four years. But it is really declined and reverted back to what it was pre-COVID, where historically the venture capital firms would raise somewhere between $30 and $60,000,000,000 per year. There was obviously the large spike '21 through '24. Then last year, that number reverted back down to about $60,000,000,000. So that is the one data point that was down. But in terms of the equity dollars being invested, those numbers are very robust. They have increased in each of the last three years, and as I mentioned, 2025 was the second strongest year on record since we have been tracking it.
Casey Jay Alexander: Great. As a follow-up question, in the news, there has been reported that a new tax law in California could tax unrealized gains. I think it applies only to billionaires. But how does that apply to the conversations you are having with your portfolio companies?
Operator: It actually does not.
Seth Hardy Meyer: So, you know, we are not interested in the equity exit. I mean, we want it to be successful and such, and we certainly want these founders to be successful. But our main goal is getting our debt repaid, making sure that they are operating to the plan in between granting them the money and getting it back. We are not focused on that at this time.
Operator: Okay. Thank you.
Finian Patrick O'Shea: Thank you. I am showing no further questions. I would now like to turn the call back to Scott Bluestein for any closing remarks.
Scott Bluestein: Thank you, Angela. And thanks to everyone for joining our call today. We look forward to reporting our progress on our Q1 2026 earnings call. Thanks, and have a great rest of the day.
Finian Patrick O'Shea: This does conclude today's Hercules Capital, Inc. Fourth Quarter and Full Year 2025 Financial Results Conference Call. You may now disconnect your line. Have a wonderful day.